Operator: Good day, ladies and gentlemen, and welcome to the Ameresco Second Quarter 2015 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the conference over to your host for today's conference, Gary Dvorchak. Sir, you may begin.
Gary Dvorchak: Thank you, [Evan], and good morning everyone. Thank you for joining us today for Ameresco's second quarter 2015 earnings conference call. I am joined today by George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer and John Granara, the Company's Chief Financial Officer. On today's call management will review the operating and financial highlights of the second quarter as well as assess our outlook for the balance of the year. Following the highlights we will take questions from the audience. Before I turn the call over to George and John, I would like to make a brief statement regarding forward-looking remarks. Today's call contains forward-looking information regarding future events and the future financial performance of the company. Ameresco cautions you that such statements are just predictions and actual results may differ materially as a result of risks and uncertainties that pertain to our business. Ameresco refers you to the company's press release issued this morning and it’s Annual Report on Form 10-K filed with the SEC on March 06, 2015, which discusses important factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. Ameresco assumes no obligation to revise any forward-looking statements made on today's call. In addition, the company will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release as well as our prepared remarks. I will now turn the call over to George Sakellaris. George?
George Sakellaris: Thank you, Gary and good morning everyone. Our solid Q2 results confirm to ask that our recovery is on trust and that our plan to restore revenue growth and improved profitability is gain and traction. Topline growth of 7% exceeded our target range and profitability was excellent with adjusted EBITDA up 9% to over $11 million. Importantly our core project business sustains his momentum with revenue growth of 13% and gross margin expansion over 20%. Our sales and development teams performed well with new awards $189 million heating the high this quarterly level in almost three years. Revenue in our key segments of federal and U.S. regions posted robust growth of 17% and 19% respectively and renewable energy revenue rebounded from Q1. Overall we saw solid momentum that was impacted only by certain non-issues in couple of segments, which I will address later. First, I would like to discuss what we are doing proactively to drive our business. The federal segment was a gain or start perform building and solid growth demonstrated in Q1. Revenue was up 17% as we performed work on an increasing portfolio projects around the country. One good example is the project we are recently completed at the Army at Delphi law in Maryland which we announced in June 4. That project includes energy savings, water conservation, rainwater harvesting and two megawatts and carport solar generating capacity. Since 2002 our multi-phased partnership with Delphi is helped to reduce their energy consumption by nearly 50% and provided more than four megawatts of onsite distributed generation. This project shows the increasing leverage we get from follow on work. The project was a third contract we fulfilled for the Delphi law. Our quartile portfolio clients we focus on winning additional business often we demonstrate success and establish a good relationship. Another example is Phase II work we recently started at the department of energy Savannah. River Site. As you might recall we first implemented and ESPC funded project at the site in 2009 built-in and operated on 20 megawatt biomass generation facility. The follow on work is when additional steam plant that produce more steam for power generation. This phase resulted an approximately $40 million of additional product revenue and an additional stable O&M revenue after project construction is completed. In general the addressable market in federal is getting larger and more attractive. Many agencies are bundling sites for which they are issuing RFP resulting in product opportunities that are now larger than what we use to see in the federal sector. Activity within the Department of Defense is particularly robust. For example the Army Corps of Engineers announced in May that Ameresco was included in a short list of companies that are eligible to pursue $1.5 billion for various ESPC projects at DoD facilities and basis, this opportunity has been driven by the army’s objective to reduce energy usage by 30% and order consumption by 15%. The General Services Administration and Department of Veterans Affairs are also attractive with larger than average RFPs, we were awarded $54 million of federal project business this quarter which drove 17% growth in federal backlog. We now have over $1.5 billion dollars of total backlog in the federal sector alone. The U.S. regions our audit key segment also showed strong momentum this quarter. Revenue of $73 million was up 19% results were especially bright in the central and Northwest regions with revenue growth over 40% in each of those areas. We are going more confident in the prospects for growth across the country. In a trend that’s similar to what we are seeing in our federal sector projects are getting more numerous and larger indicating good growth in our addressable market. For instance in the central and west regions we are now working a larger bundled solar programs, rather than small one-off projects we are winning multiple site distributed generation assignments. These are typically higher dollar value to us and are appearing in both commercial and public sector clients. In addition to the larger size of opportunities U.S. regions should benefit from the opening of the new geography. We established ourselves in the State of Georgia by closing relatively large energy services contract. Georgia only recently allowed its agencies to use ESPC contracts to fund efficiency initiatives. We are also winning more business in California and Texas, which have not been strong markets for us in the past. Looking internationally our prospects are improving, [indiscernible] for this last quarter results in Canada were impacted due to a large project that incurred significant cost severance. We believe that situation is under control and have reserved for the anticipated losses. Our team in Canada reports that activity levels are picking up. So we think in 2016, which resume growth. For instance in Canada our order backlog was up 26% sequentially. Our Canada results were good but we also excel in building our pipeline for the future, not just in Canada but across the whole company. In particular, the performance of our sales and development teams were - this quarter. New awards were a $189 million, which is up 66% from last year and 125% sequentially. Our rewards and backlog growth was particularly robust in our federal and Southwest regions, we also shined in converting awards to contracts with 13% of our starting award backlog become in contracted in the quarter. Of course this conversion rate varies from quarter-to-quarter but was quite good this period. The strong performance by our sales and development teams was matched by our implementation crews. We recognized around 26% of our starting contracted backlog in the quarter again a solid rate of completion, beyond our core project business; we delivered good results in our recurring revenue streams. Energy revenue and O&M are important elements of our recurring revenue. As we find that point out regularly growing the recurring revenue is a strategic imperative for Ameresco. O&M grew a healthy 6%. It was a bit slower than our project business, but in line with our expectations. Keen in mind, this is a very stable and higher margin revenue source. A great example of attractive O&M revenue is Phase II at Savannah River, which we mentioned earlier. The O&M revenue will start at about $2 million per year in 2016 and extend out for over 15 years. We are proud of our performance this quarter, but there is always room to improve. Two business segments reported lower revenue which diluted our overall growth, but it's not causing our successive concern. I already mentioned Canada were revenue was down 30% as we cleanup some legacy issues and properly size that unit. Solar equipment sales were down 19% due to the slowdown in oil exploration and production. Much of our off-grid Solar PV sales going into well site microgrid applications and with the price of oil down EMP CapEx gets slowed. We cannot really predict when oilfield activity will pick up, but we will manage this business consciously deal with us. Let me now turn the call over to John to provide more details about our financial results and guidance. John?
John Granara: Thank you, George and good morning everyone. As we get started with the financials, please note that unless otherwise stated all the amounts I referenced relate to Q2 2015 and the comparisons for the year-over-year changes. Also I wanted to let you know that in the prepared remarks filed on our website will now include table showing revenue and adjusted EBITDA by segments. We’ve been asked for this in the hence the revenue is disclosed in our SEC filings so we thought that you would find it more help of the season numbers as we review them now. Starting with the P&L total revenues of $152.5 million were up 7%. As George discussed this quarter was characterized by strong performance in our core project business, recovery in energy revenue within our small-scale infrastructure segment and stability in O&M. Those are partially offset by the issues that George just mentioned in Canada in Solar PV sales. In our core business of projects 13% revenue growth was driven by ongoing strength in federal which was up 17% and the strong performance in our Central and Northwest regions with each being up over 40%. Our Eastern and Southwest regions were flat and down 7% respectively. UK and other international contributed over $3 million while Canada declined 30% as we anticipated. Recurring operations and maintenance revenue of $15.1 million was up 6%. Revenue stream is generally quite stable and visible due to the large long-term nature of the contracts as we disclosed left quarter, we have visibility on over $700 million of federal O&M revenue extending out up to 18 years. Energy revenue which we report in our small-scale structure segment comes from our landfill gas and solar projects. We sold $14.7 million worth of electricity in the quarter a nice recovery of 19% from Q1 which is typically a seasonally low quarter. Moving on to gross margin and operating expenses, gross margin for the second quarter was 20.3%. SG&A expenses were $25.8 million or 16.9% of revenue. We grew operating expenses 7.2% sequentially despite a 32% sequential revenue increase. We expect further operating leverage as we grow our expected revenue in the second half of the year. Operating income was $5.1 million up 34%. Net income was $2 million or $0.04 per diluted share. Net income declined when compared to last year due to taxes of $1.7 million which were $1.5 million higher than last year. The tax rate was higher due to timing differences and we still expect our full-year rate to be 25%. There are two possible tax incentives related to U.S. projects that we expect to come at the play before year-end which would offset the Canadian tax valuation allowance impact we discussed last quarter. Other expenses were also about $600,000 higher due mostly to higher net interest expense. Adjusted EBITDA and non-GAAP measures, that we believe to be reflective of our economical performance was a $11.3 million or $0.24 per share. Adjusted EBITDA growth of 9.4% was greater than our revenue growth reflecting our focus on improving profitability. Now let’s turn to the balance sheet. As you would expect some of our key metrics are improving as we move through our normal seasonal pattern. Cash was up by $1.7 million in Q1 and DSO decline sequentially. Consolidated debt was $99.2 million at June 30 removing project that which is non-recourse to us, corporate debt was $25.6 million. We believe this is a reasonable level of depth for us because it gives us borrowing power to fund the expansion of our operating asset portfolio. During the quarter we renewed and extended the maturity dates on a corporate revolving credit facility is 2020 and our term loan to 2018. Looking at CapEx we invested $7.8 million in renewable energy projects that we own and operate for the remainder of the year we expect CapEx approximately $60 million which will primarily be related to assets and development. Our total project assets are now $223.8 million. Looking at backlog invisibility we started the quarter were $387 million and fully contracted backlog and ended the quarter with $398 million. Our teams did a great job in converting a 113 million of awards and contracts, but our execution teams did nearly as well recognizing 102 million. As George mentioned we performed admirably in winning new awards with 189 million of awards up 66% driven by the federal awards and energy asset wins. I should also point out that the $398 million of contracted backlog is better than it may appear when compared to this time last year. Although it is flat versus last year we absorbed the decline of $46 million or 50% in a Canadian contracted backlog. We expected this as we backfill the work in the problem project we referred to earlier. Excluding Canada are contracted backlog is up 14% versus last year. At this midpoint of the year a solid performance gives us greater confidence in a full-year guidance for 2015. We continue to expect revenues for the year to be in the range of 610 to 640 we continue to expect double-digit revenue growth from both the federal and U.S. region segments, which is being partially offset by decreases in Canada and our upgrade solar business. Near-term visibility continues to improve this quarter two. For the remainder of 2015 we now believe $240 million will come from contracted backlog which is an increase of $60 million during the quarter. We expect $20 million to $40 million to come from awarded projects and pipeline the remaining revenue would come from energy O&M and other revenues. We still anticipate gross margins to be between 19% and 20% and operating expenses should be around 16% to 17% of revenue. We anticipate the effective tax rate for the full year to be around 25% this should all lead to EPS in the range of $0.16 to $0.24 and adjusted EBITDA to be in the range of $43 million to $48 million. Now let’s discussed our outlook for the third quarter we expect revenues to be within a range of $165 million to $285 million and adjusted EBITDA in a range of $13 million to $17 million. Net income and EPS are uncertain at this time, because were not sure when we will complete the tax actions that I discussed earlier. Those actions could occur either in Q3 or Q4 or partially in both. However we do expect them to be completed this year though. For the year we still expect our tax rate to be 25%. Now I would like to open the line for your questions. I'll turn the call back over to our coordinator Ben to run the Q&A session.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Noah Kaye of Northland Capital. Your line is open. Please go ahead.
Noah Kaye: Thank you and good morning George, John and Gary and Ben.
George Sakellaris: Good morning.
John Granara: Good morning.
Noah Kaye: May we could start a little with your views on the solar/renewable project backlog I think last quarter you articulate aspirations for 20 megawatts for the year. Where we up to at this point in the year and with your CapEx figure around $60 million if I just sort do that for what basis are you expecting maybe a little bit better than 20 megawatts and solar are there other components that we should understand? Thanks.
John Granara: There are other components that you should understand, Kaye. We are developing non-solar projects as well which is in that number. So we previously said that we expected to put 20 megawatts in service this year, we’re actually thinking while that's still achievable. We did incur some delays related to some legislation here Massachusetts related to at the cap in the net metering. However we we’re encouraged that at least the Senate passed legislation that would lift that cap. So were hoping that those projects are now going to be back on track. But if I would hedge I’d say we’re probably going to be in the - we might be closer to the 15 megawatts. But with regards to our pipeline, we said previously that our total pipeline was 80 megawatts, we’re actually now up over 90. So we did incrementally grow the pipeline, so assuming we get those projects back on track. We should get closer to the 20 and then of course we are building out the Fort Detrick project, that we’ve talked about in the past. We’ve targeted that to be another 18 megawatts in Q1 of next year. Our pipeline is very much still active.
Noah Kaye: Is there an added component here of a landfill gas or other assets that we should think about?
George Sakellaris: We are developing, I think we didn’t mention it in the last call. We have two and potentially three sides that that they look better for us now to development for the Green Gas and take advantage of the marine market - identification number. And we have copper sites, definitely we are developing them to sell Green Gas and they look pretty good right now. And we are expanding some dollars associated with us the two particular sites. And the other thing why the capital investment is little bit larger than if you were to relate to the 15 megawatts that will be installed this year, is due to the fact that we are doing some work like Fort Detrick. For example in some other projects that they will not become online till next year, that’s a 15 megawatt the John was pointing out. It was the project that will come in line this year, actually as we started this quarter return on couple projects already and then we have in Q2 have another two to three I think will online this quarter.
Noah Kaye: Great.
George Sakellaris: The delay and delay on the net – you probably know some of you know the issue in the State of Massachusetts, international and Greek category that we reached the cap on the net merely cap. And we have four projects that were impacted, so they have been delayed like John pointed out, it was good that the Senate increased the cap, but it just go through the House and then the Governor has to sign it. But we are optimistic that we will get those projects on the contract
Noah Kaye: And just tuning to the project business you made some good comments on the federal piece that in particular DoD. I think as well as some activity that DOE is undertaking. Can you just kind of help us understand how the scope and potentially the size of projects in federal is evolving, are you looking at more micro grid opportunities, are you looking at in a more comprehensive measures including not only energy conservation. But also solar and other DG, just give us a sense of where the projects are heading?
George Sakellaris: It’s very good question. I think the federal market, and we talk a little bit about the people that they run into problems and the goals that they have. They gave much more familiar with the concept and much more comfortable, the only bottleneck is that they do not have enough to move some of the projects through the pipeline and that's why it's a long gestation period, it takes long to convert them. But you are right the projects are getting a bit more sophisticated as to what kind of technologies they implement. And we see more micro grid opportunities, we even have couple storage batteries and more of the comprehensive offering, like I said the Delphi project of the 4 megawatts of PV installation as well as very comprehensive electric savings, gas savings and substantial water saving. So and that's why and I mentioned it last time we feel, Ameresco is well positioned, because of the deep technical expertise that we have in the company and we can take advantage of those opportunities. And in the federal sector especially they are looking for more comprehensive projects because they have the energy efficiency goals as well as the water saving goals and the renewable target they have to meet. So to the extent that we could package all the things together it makes the project more attractive. And the new technology that’s evolving well it’s the LEDs or the microgrids for battery storage or the microturbines they make in this business much more cost-effective and we’re getting better traction in the market place. So very good question. The market is evolving and I think we have evolved with the market and I think it's beginning to pay well. It’s too early to tell, but that’s why I alluded our success rate lately it’s been pretty good. We feel good about it, but we would like to see few more colors like this.
Noah Kaye: Okay, great. Thank you so much for the color.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jim Giannakouros from Oppenheimer. Your line is open. Please go head.
Jim Giannakouros: Thanks, good morning everyone.
George Sakellaris: Good morning.
John Granara: Good morning Jim.
Jim Giannakouros: A quick clarification here and looking at your total project backlog last year I had a $1.39 billion number you guys are posting a $1.324. I know it’s minor, but I'm just tracking year-over-year backlog change that reflects my comp is there a restatement there or recharacterization of backlog that I should be aware off.
John Granara: Jim, that’s a good catch. I did not the mentioned it on the call, but in the prepared remarks, but our prior year amounts have all been restated to break out and remove the items that we now included in our assets and development. So we did restate those amounts that were in prior year in that category so that you would get up a pure apples-to-apples comparison. So a portion of the $152 million of assets and development that we have this year were actually included in our backlog last year because at that time we thought we were developing them for a potential sale are developing for others, but we pull them back and we now plan to own and operate those ourselves primarily. So that's the primary difference there.
Jim Giannakouros: Got it. Okay.
George Sakellaris: That number now stands at 152 in projects and development.
Jim Giannakouros: Understood, okay. And then also I mean as far as I understand that your revenue recognition is improving I'm just trying to understand the ebbs and flows of your backlog is building clearly it seems the demand is certainly improving, but your revenue recognition is improving which is kind of offsetting that. So and trying to think longer-term and the set up I mean are your efforts in revenue recognition has improved clearly, is it more in federal or is it in smaller projects, is it that across the board?
John Granara: It’s across the board, Jim. I mean we saw acceleration in particular the month of June was a strong month for us so we exceeded our internal expectations. We do obviously a fair amount of work in schools in K-12 and we’re able to gain access to those sites a little bit earlier than we thought and mobilize some of the projects. So that's where we saw and it’s really in particular the month of June was a very strong month versus our internal targets. I would say that we expect in terms of the ebbs and flows that you said that probably came – that probably doesn't – it’s incremental for the year or just reduce the amount of revenue we recognized in Q3 because we are able to get into some of the sites early.
Jim Giannakouros: Got it. Okay. That’s all I had guys. Thank you.
John Granara: Welcome. End of Q&A
Operator: Thank you. [Operator Instructions] And I am showing no further question. I would like to turn the conference back over to Mr. George Sakellaris for any closing remarks.
George Sakellaris: Thank you very much, Ben. Let me close the call by reiterating that the midpoint of 2015, we haven’t meet the expectations for improved growth and profitability and we tend to continue to drive the recovery. Despite the lingering impact of the Canadian project, our overall results are good. Our federal sector business has revived its growth and we are executing across most U.S. regions. We are winning new contracts in our coal project business with an attractive rate and we think visibility can continue to improve. Our performance in the first half gives us confidence that we can continue to meet our expectations in the quarters ahead. I also want to mention an upcoming investor event on Monday, August 10 John will be presenting and hosting one-on-one meetings at the Jeffries Industrial Conference in New York. We invite any of you attending the conference to schedule a meeting with us through your salesperson at Jeffries. Thank you all again, and this concludes the call and you may now disconnect. Have a nice day.